Operator: Good morning. My name is Kreda [ph] and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Royalties' First Quarter Conference Call. All lines have been placed on mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. After the speakers' remarks, there'll be a question-and-answer session. [Operator Instructions] Thank you. Mr. Watson, you may begin your conference.
Nolan Watson: Thank you, Kreda. Good morning, everyone, and thank you for calling into this first quarter earnings call for 2021. As normal this morning, I'll provide a brief update on the company and then Erfan, our CFO, is going to walk us through the first quarter results, and then Dave Awram will provide an update on some of the assets. After that, we'll turn it over to the operator for the question-and-answer period. And if anyone has any questions, that does not need to be part of the live Q&A, you can ask those questions through the web portal. And we'll ensure that each question we get there will get a direct response from you after this call. At this time, we're going to be going through a prepare PowerPoint presentation on the web portal. So, if you're able to please turn your attention there now. Overall, the first quarter for Sandstorm was fantastic. We had a record number of gold equivalent ounces sold of over 17,000 ounces; we had record revenue of $31 million, and we had record operating cash flows excluding working capital into the $23 million. By all accounts, our business is performing well. And it's for this reason that we're raising the bottom end of our annual production guidance, up to 55,000 ounces so that our revised guidance range is between 55,000 to 62,000 gold equivalent ounces. So, we're still on track for another record year of annual sales. It's important to note that starting now in the second quarter, the gold stream that we have on the Karma mine in Burkina Faso has done the six delivery period of the contract. Advanced firm now has an effect of 1.6% NSR. So, the deliveries from Karma are expected to be lower by the 1,000 ounces per quarter going forward. However, many of you are aware we have a number of other development assets at various stages of development and we're expecting more growth in annual production over the next years in any of our other streaming and royalty competitors. Now, Sandstorm has record amounts of capital available to allocate to either new deals or dividends or share buybacks. And as we stand here today, Sandstorm has over $150 million in the bank, plus we have approximately $60 million of equity and debt investments and other mining companies that can all be liquidated if need be. [Technical Difficulty] We are going to be allocating capital to what I mentioned on the last quarter earnings call, was all three alternatives, the new deals and dividends and share buybacks. And we've got a slide here that you can see, this discusses the share buyback part. We bought back a material number of our shares each year for four years running now and during the first quarter, we're able to pick up almost a million of Sandstorm shares and have them cancelled. So, the value per share for remaining shareholders is continuing to increase. And over the past four years, our average cost per share has been only $5.20. So, we think we've done a very good job of picking our spots. And we think it's been a prudent form of capital allocations for us and we're going to continue in the spirit going forward. One of the things that makes us excited to buyback our own shares is not only how well the portfolio is doing from a cash flow generating perspective, but also how incredibly well the exploration upside story continues to unfold over time. We have finally completed all of the number crunching for the last year and it turns out that 2020 was the fifth straight year in a row that more gold ounces have been found on our royalty grounds and have been mined. This is an amazing track record that is exciting to us. In 2020, Sandstorm received 52,000 attributable gold equivalent ounces of production compared to 54,000 new ounces attributed to Sandstorm being found through exploration. And what I find even more interesting is that the actual number of ounces attributable to Sandstorm that was found was even higher than 54,000 ounces and what we've done is we've chosen to be conservative and how we show these figures because under one of our streams, a new technical team has decided to take a more conservative set of assumptions on the reserve calculation and has what we believe temporarily decreased their ounces on the books. And we have netted those ounces off against the ounces found, so that the 54,000 ounce number represents a true net ounces found figure. Year-after-year our portfolios continuing to not only set new records in revenue and cash flow, but it also continues to replace the ounces mined with new ounces found. Before I hand it over to Erfan, I would like to remind everyone of a few important catalysts that we see for Sandstorm in 2021, starting with one of our key assets [Indiscernible]. As I've said in the past, 2021 is expected to be a catalyst which year for the asset with both a feasibility study and an EIA expected to be granted imminently with the granting of EPCM contract to build the mine later in the year. It's still our expectation that both the feasibility study and the granting of the EIA should occur in the second quarter. However, this week due to COVID, the Government of Turkey has implemented a countrywide lockdown to contain the virus, and we're still assessing what impact if any, this will have on the expected timelines. I think it's safe to say we're all tired of COVID. We certainly want our partners and therefore stay safe and we understand that this means a slight delay in timelines. Another important catalyst this year is potential deals. I won't belabor this point, but I'm still expecting this year to be an above average year for new deals and likely the highest level of -- the past few years for us. Having said that, deals aren't done until they're actually done. So, I'll let the actual deals if any, speak for themselves. The next catalyst that's worth remembering, which I've already touched on is the return of capital to shareholders to either share buybacks or dividends. We've had the benefit of discussing this further at the Board level recently and we're targeting a decision one way or another if not, by the end of this year than early next year. We have an incredibly strong balance sheet, a fantastic and diversified portfolio that’s generating record cash flow and so it's my belief that paying small, but sustainable and growing dividend is effectively dividends. I'm very pleased with how well our portfolio is performing and the opportunities we see to grow the portfolio. And so with that, I'm going to hand it over to Erfan.
Erfan Kazemi: Great, thank you, Nolan. Hello to everyone joining us today. It's been a great quarter for Sandstorm as Nolan mentioned. I'd like to take some time to walk through the financial results in more detail. The chart on the left of this slide, so Sandstorm's attributable gold equivalent ounces sold as well as sales and royalty revenue for the last four quarters. If you've been tuning into these conference calls for a while, you may recall at the end of 2019 that Sandstorm was realizing quarterly records on a regular basis. At the time, I mentioned that we were excited for this record breaking trend to continue. After a year of unprecedented change and global upheaval, I'm pleased to say that Sandstorm has once again hit a new quarterly record. Moving to the next slide, we can make a few comparisons between the first quarter of 2020 and 2021. By all metrics listed here, Sandstorm's financial performance was stronger in the first quarter of this year, compared to the first quarter of last year. Total revenue was a record $31 million, an increase the 45% compared to the same period in 2020. Attributable gold equivalent ounces sold with a new quarterly record at 17,444 ounces, an increase of 30% compared to the same period in 2020. These results were supported by a relatively strong gold market in the first quarter, with an average realized gold price of $1,777 per ounce. For comparison, the average realized gold price in the first quarter of 2020 was just under $1,600 per ounce. Average cash cost was $307 per attributable ounce, which translates to cash operating margins of $1,470 per ounce and a new quarterly record of $23.7 million in cash flow from operating activities. Net income came in at $5 million for the quarter compared to a net loss of $10.3 million in the first quarter of 2020. The next slide provides a breakdown of the quarterly production results by cash flowing assets. The amount of silver stream was once again the leader with over 4,700 attributable gold equivalent ounces sold. This represents a 12% increase in silver ounces sold compared to the first quarter of 2020. The Cerro Moro silver stream has benefited from an increase in the silver price. Sandstorm realized an average selling price of approximately $25 per ounce during the quarter compared to approximately $18 per ounce of silver in the first quarter of last year. A similar story can be told for the Chapada copper stream. Sandstorm received a 29% increase in the number of copper pound from Chapada during the quarter and realized a 36% increase in the average selling price of copper compared to the first quarter of 2020. The result was a total of 2,588 attributable gold equivalent ounces sold from the stream. Other notable changes in production, when compared to 2020, include the addition of the Canyon stream, which began both deliveries to Sandstorm in May 2020. An increase in production attributed to the Fruta del Norte mine, which commenced commercial production in February 2020. And an increase in royalty revenue from the Bracemac-McLeod mine. Production from the Karma mine in Burkina Faso also increased in the first quarter compared to the previous year, partly related to timing of sales and the delay in deliveries compared to the prior quarter 2020. The first quarter also marks the end of the five year period under the Karma gold stream that allows Sandstorm to purchase 25,000 ounces of gold for ongoing per ounce payments equal to 20% of the spot price. And Nolan mentioned as of April 1, master gold stream agreement titled now closer to 1.63% of gold produce the Karma mine for the same ongoing per ounce payment. Operator Endeavour Mining is forecasting between 80,000, 90,000 ounces of gold to be produced at Karma mine in 2021. The final slide depicts the first quarter revenues by region and metal type. Sandstorm’s portfolio continuously well diversified with mines operating in stable jurisdictions around the globe. In the first quarter, 90% of revenues came from mines operating in the Americas, with approximately one-third of revenues coming from North American mine. The majority of revenues came from precious metals with nearly half attributable gold operations with another 27% from silver, 17% of revenues came from copper this quarter, which providing good exposure to rising base metal prices. Overall, it was a very good start to the year for Sandstorm shareholders. We finished the quarter with over 140 million in cash over 52 million in equity invested. Sandstorm balance sheet is strong and ready to support the roadmap for the company based on the company's existing streams and royalties. Again, we've updated our forecast for attributable gold per ounces sold to be between 55,000 and 62,000 ounces in 2021. So with that, I'll turn things over to Dave. Dave?
David Awram: Thanks, Erfan. My asset updates will be brief this quarter as I focus on two projects that are back in the limelight after a couple of years of us not talking much about them. The first project is the nascent project with Hudbay. This asset was once an Entrée Resources, but has spun out into its own vehicle and was eventually purchased by Hudbay in 2018. Fast forward two years later, along with a $2 per pound increase in copper price. And we are one of the largest Greenfield copper projects in the Americas and potentially the third largest copper mine in the United States. Hudbay recently released the results of the PA on the 2.2 billion tonne measured in indicated resource at 3.10 copper and using a 10% discount rate. The project carries after tax NPV of almost $520 million. The current mine life is expected to be 27 years, but they're still working on additional exploration that could extend that. Obviously, we're working on the asset and assets will need to be achieved. But Hudbay is expected to put it into the development pipeline once rose line is up and operating. However, it does have the potential to almost double Hudbay’s copper output. So clearly, it could be one of the most important growth projects in the pipeline. With ARPU 0.4% NSR on the project Sandstorm could collect up to $75 million in proceeds based on the PDA study at $4.50 copper price, obviously that's going to be a lot higher. This is another great example of how Sandstorm has been effective at accessing low cost early stage deals on the right assets. And sometimes like this one, even we're surprised that doesn't take nearly as much time as we originally thought to show that great value for Sandstorm. The other projects, I want to talk about now are Barry, Moroy and Gladiator. These are all now part of what was originally The Bachelor Lake goldmine stream, which provided us with a tremendous amount of cash flow for over the last 10 years. Today, under Bonterra management. There's three projects quickly pushing forward which we hold royalties from 1% to 4.9%. Gladiator and Barry when the large land package within the Windfall Lake District in Quebec. Bonterra has been doing approximately 10,000 meters per month on very property and has been consistently getting great results. Some of the latest step at Intercepts are 14.7 meters and 7.4 grams and 6.8 meters to 3.8 grams per tonne in each zone, that deposit still appears to be open along strike and depth. It is a large amount of joining plan Barry likely has more mineralization to be found, an updated resource is expected Q2 and PA is expected before the end of the year. We've also begun to receive payment for our royalty here through the bulk sample taken underground last year. But hopefully, the project will start entering the development stage in the not too distant future. Moving over to the original Bachelor Lake mine side, not only has Moroy continued to produce good Intercepts, chasing up on the O’Brien [ph] institution showing Bonterra has made another discovery within two kilometers The Bachelor Mill. Two holes have begun to outline this new discovery within sets of 24.9 years of 1.4 grams and 10 meters of 1.3 grams. This goes to show you that combined with Moroy discovery only a few years ago, this is very perspective ground, only just beginning to be understood. Of course, it's also good news on the mill expansion. The Old Bachelor Lake Mill is still able to operate 800 tonnes per day permitted to increase to 2,400 tonnes per day. And as well through that process, new tailings expansions are approved and Bonterra could find themselves in a position to start the expansion soon. For Sandstorm that means sooner we get the chance to see revenue from a 4.9% NSR on all these newly discovered areas. So with that, I'll pass it over the call back over to the operator for Q&A. Please feel free to ask any questions about our royalties and streams.
Operator: [Operator Instructions] And our first question comes from Heiko Ihle with H.C. Wainwright.
Heiko Ihle: Hi, there. Thanks for taking my questions. I'm glad you made it that on the call.
Nolan Watson: Me too.
Heiko Ihle: I know you're still working diligently on the feasibility study for Hod Maden. And the prior outlook was read to be completed in the first half of the year, obviously, with production by the end of 2023. And this timeline was from in the MD&A that you guys just put out. In contrast, early on the call, you said that Turkey went into a lockdown. And there may be a delay to this, but I mean, just thinking ahead, not 30 days, but you know, six months, nine months, 12 months? How much the impact is this delay, really pose to you getting first production by the end of 2023. And building on that, can you maybe pride some color on longer lead time issues that you're particularly concerned about?
Nolan Watson: Yes. So the lockdown was just announced a couple days ago. So it's a bit early for us to tell some of those answers, because it's only been -- in effect for a couple of days. At the moment, we don't foresee it changing when we think the asset will get into production. Some of the long lead items, which are still working their way through the system would be things like forestry permits, but also EPCM contractors getting them signed up and ready to go. And that work is still ongoing full force. And most of that work is digital work where people are submitting their bids and phone calls are being had. And then that's still going ahead irrespective of the lockdown. So a lot of these long lead items are not, in fact slowing down. It's just if EIA permit was expected to be granted next month, and nobody's showing up at their desk at the government for the next month that might slow down. But that was never really a long lead item. So we're just waiting to see how or if any, it'll impact it. And at the moment, we're not updating our guidance, because we don't think -- it'll be to material.
Heiko Ihle: Okay. Yes. That's what I figured. Because I mean, there's a so far in the future, and even if they locked down for 90 days. I just don't see how that will change the 2023 timeline.
Nolan Watson: Yes. And a lot of the work that the project is at the stage right now is, is at the desktop level, and so people are still pushing more work forward, at the same pace even though they happen to be in their homes.
Heiko Ihle: Got it. Second question, I'm not sure how much of this you're willing to say. I mean, you're obviously renewed your NCIB. And I think that's the right move especially, when I saw the 520 average priced that you paid over the past few years and the presentation that you had. You actually use the program reasonably aggressively in Q1. Have you done anything in Q2 so far, I mean, we're a third way through the quarter. I don't know if you're willing and able to comment on that.
Nolan Watson: In Q2, we haven't most activities so far, we were in blackout because of preparing financial statements. So we weren't allowed to legally anyway, so.
Q – Unidentified Analyst : Fair enough. I'll get back to queue. Thank you.
Nolan Watson: Thank you.
Operator: And our next question comes from Hilary Chak with Canaccord Genuity.
Hilary Chak: Hi. Thanks for taking my question. So actually just had a question on Entrée gold, I see that you've been increasing the size of the investment. And I was wondering if you're able to speak about the rationale behind that?
Nolan Watson: Yes. It's a question that we get every now and then and answered in on some of our past calls. Suggest is that we found a very significant percentage of their company already based on their liquidity, selling out at a reasonable price is not very feasible at the moment. And we think that there's actually a tremendous amount of value there, we think that company's worth a lot more than what it's trading at. We have not been shy to say that publicly in the past. And so we think that picking away shares that are well below value, gives us the benefit of building a stronger position, if someone wants to come along and buy them, and making sure we get their value for our shares. Or if nobody buys them then we own effectively 25% of the company in a partially diluted basis, we get 25% of their dividends from their equity interests. And we'll see how it goes. So either way, whatever the outcome is, we're happy. And we think it's intelligent capital allocation good enough capital we have available to us and the volume you see there.
Hilary Chak: Okay. Thanks. That makes sense. And one last question on guidance, you increased the bottom end of the guidance, and based on Q1 that implies an annual run rate about 68,000 ounces, which is above the high end of guidance. I know, you said that Karma is expected to decrease in the coming quarters that are expecting any other assets to decline? Or is this just like a conservative estimate?
Nolan Watson: I would say, we try to be I think conservative in our estimates, sometimes it's tough to tell. We -- I wouldn't say that there's any imminent declines that we're expecting from many of our other assets other than Karma, and Erfan I don't know if you have anything to comment on the conservativeness of our guidance.
Erfan Kazemi: I think our guidance is fair potentially on the conservative side, but we have more than just one commodity in our mix and that impacts our guidance figures. So as the year goes on, we'll provide more clarity on that.
Hilary Chak: Okay. Awesome. Thanks. That's it for me.
Operator: And our next question comes from Derick Ma with TD Securities.
Derick Ma : Thank you. My question relates to Chapada land inputs from pretty positive exploration results to their Q1 earnings, 90% increase in land division. Looking at the maps, we believe most of the property is still covered by the stream area, but can you confirm that the Southwest near Monterey exploration areas are covered and more specifically, I guess, the four mega areas of their lives now you’re looking at?
Nolan Watson:
[:
Derick Ma : That's fair. And I guess one more question on Chapada land. Should we expect some decreasing deals paid to stand firm in Q2 related to the shutdown, are we through that now?
Nolan Watson: I’m not expecting material decrease in gold equivalent ounces in Q2. Having said that, there is a cap in annual production that we get in copper and there’s a threat mechanism, so for example, if they hit the capital one quarter under any another quarter, when will we get through at the end of the year. So I do think we're going to get our maximum number of ounce copper for the year, whether or not they get delivered in Q2 or later in the year..
Derick Ma : All right. Thank you very much.
Operator: Now next question comes from John Tumazos, Very In [ph].
John Tumazos: Good morning. It's John Tumazos. In earlier presentations there was a focus on the pending feasibility study update for Hod Maden. Has that been delayed with COVID and other complications in the world? Or is that still due in a quarter or so? And what are some of the changes possibly in CapEx or grates, recovery rates anything that you can comment?
Nolan Watson: Yes. Thanks for that. So in terms of the feasibility study, it is still tracking well. It's still tracking fast. Most of the work is desktop work. So we don't think the lockdown in Turkey that was just announced to have the material impact on timeline, maybe it will have a small impact on timeline. So it's definitely still going to be in the first half of this year, in fact late last night, I actually got some of the first sections of the quarters, we’re going to want to report that's actually being drafted that seems to me in my inbox. And I’m going to start reviewing that. But we're expecting a fairly similar number of total payable ounces, as previous studies when you take into account grade in the feasibility study, in other words recoveries, , some are going up, some are going down, but net-net, I'm expecting the total number of payable ounces to be pretty similar. And it's an incredible mine, an incredibly robust mine and based on the knowledge that I have so far with feasibility study will show that.
John Tumazos: Thank you very much.
Nolan Watson: Thank you.
Operator: And our next question comes from Brian MacArthur with Raymond James.
Brian MacArthur: Good morning. Just following up on John's question, since you were kind enough to comment on the ounces of Hod Maden. One of the things I was just curious about the original study was done with a Turkish lira rate of 3.8. I guess, it's eight or something now. Can you just remind me or if there's any changes, any guidance you can give on how that's going to impact your capital i.e. or outlay and just ongoing operating costs, how much it was sensitive to Turkish lira because of your ounces and everything else to the same, you're getting a better lira. It could have turned out to be a better looking project. I don't know if you can comment on that.
Nolan Watson: Yes. Look, I won't comment on too much specifically, but what we're seeing generally is there is some cost inflation in the lira, but the value of the lira is going down. And so our expected capital in US dollars is pretty similar.
Brian MacArthur: Thank you. That's very helpful.
Operator: There are no further questions at this time. I'll turn the conference back over to Mr. Nolan Watson.
Nolan Watson: Great. Well, thank you Kreda [ph]. And thank you everyone for joining in today's call. I apologies for the little hiccup, but my cell phone held in there. And hope everyone has a good day. And like always, if you have any questions, feel free to give us a shout here at the office. Thank you.
Operator: And there are no further questions at this time. This does conclude today's conference call. Thank you for your participation. You may now disconnect.